Operator: Hello, and welcome to Synaptics' Fourth Quarter Fiscal Year 2025 Financial Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. It is now my pleasure to introduce Munjal Shah, Vice President, Investor Relations.
Munjal Shah: Good afternoon, and thank you for joining us today on Synaptics' Fourth Quarter and Fiscal 2025 Conference Call. My name is Munjal Shah, and I am the Head of Investor Relations. With me on today's call are Rahul Patel, our President and CEO; and Ken Rizvi, our CFO. This call is being broadcast live over the web and can be accessed from the Investor Relations section of the company's website at synaptics.com. In addition to a copy of our earnings press release detailing our quarterly results, a supplemental slide presentation and a copy of the prepared remarks have been posted on our Investor Relations website. Today's discussion of financial results is presented on a GAAP financial basis, along with supplementary results on a non-GAAP basis, which excludes share-based compensation, acquisition-related costs and certain other noncash or recurring or nonrecurring items. Please refer to our earnings press release for a reconciliation of the most directly comparable GAAP financial measures to the non-GAAP financial measures presented. As a reminder, the matters we are discussing today in our prepared remarks, in our supplemental materials and in response to your questions may contain forward-looking statements. These forward-looking statements give our current expectations and projections relating to our financial condition, results of operations, plans, objectives, future performance and business. Although Synaptics believes these estimates and assumptions underlying these forward-looking statements to be reasonable, they are subject to a number of risks and uncertainties beyond our control. Synaptics cautions that actual results may differ materially from any future performance suggested in the company's forward-looking statements. Therefore, we refer you to the company's earnings release issued today and our current and periodic reports filed with the SEC, including our most recent annual report on Form 10-K and quarterly report on Form 10-Q for important risk factors that could cause actual results to differ materially from those contained in any forward-looking statements. All forward-looking statements speak only as of the date hereof or the date specified on the call. Except as required by law, Synaptics expressly disclaims any obligation to update this forward-looking information. I will now turn the call over to Rahul.
Rahul G. Patel: Thank you, Munjal. Good afternoon, everyone, and thank you for joining our fiscal and Q4 2025 earnings call. I am excited to speak with you today. I will start with a brief introduction, outline my initial observations and discuss strategic updates for the company. I will then cover highlights from our fourth quarter and turn the call over to Ken for financial results and guidance. I have spent 3 decades driving growth in semiconductor industry, including more than 20 years in senior leadership roles at Qualcomm and Broadcom. At Qualcomm, I led the IoT business, scaling it from under $1 billion to multibillion dollars. This success was built on delivering highly differentiated products and compelling technology road map, strategically positioning the business for sustained growth, market leadership and enduring customer relationships. I am energized by the opportunity to scale Synaptics into a much larger and differentiated Core IoT and Edge AI semiconductor solutions player. In the past 2 months, I have engaged closely with customers, partners, suppliers and our employees to better understand our strengths and opportunities. Synaptics has a strong foundation in analog mixed signal, multi-core processors and wireless connectivity intellectual property. I believe that the combination of these 3 capabilities uniquely position the company in Core IoT to deliver long- term value for our stakeholders. Our engineering talent, technology portfolio, road map of differentiated products and solutions and customer intimacy position us well for leadership and growth. We are leveraging our strong foundation to accelerate growth in Core IoT, investing strategically in engineering, sharpening our go-to-market execution and delivering innovative, scalable platforms that align with our customers' need for performance, integration and flexibility. From industrial automation to smart home applications, Synaptics is uniquely positioned to capitalize on a vast emerging opportunity. With unmatched capabilities in sensing, processing and connectivity, we are driving differentiated solutions in Core IoT and Edge AI. From my vantage point, our priorities are clear. We plan to actively pursue opportunities to expand our share in our existing markets and explore new ones with the goal of accelerating growth in our Core IoT business. We will continue evaluating our product portfolio and shape our products and solutions road map that we believe will position us for sustained success over the medium and long term. We expect to maintain a disciplined execution strategy that prioritizes investments in areas that offer the highest potential for sustained and profitable growth. We look forward to providing more details at Synaptics' Analyst Day in 2026. Moving to our results and business update. We just completed our fiscal year 2025 with revenue increasing 12% to $1.074 billion. This growth was driven by strong performance of our Core IoT products, which grew 53% year-over-year and accounted for approximately 1/4 of total company sales. As we enter fiscal 2026, we continue to focus on driving top line growth and increasing earnings while also continuing to invest in our growth initiatives. For our fiscal fourth quarter, which ended in June 2025, revenue was $282.8 million, slightly above midpoint of our guidance and up 14% year-over-year. Non-GAAP gross margin was 53.5%, in line with the midpoint of our guidance, and non-GAAP EPS of $1.01 increased 58% year-over-year and was also in line with the midpoint of our guidance. Our Core IoT product sales increased 55% year-over-year in fiscal Q4 to $84 million, fueled by a strong contribution from our wireless portfolio. As we look to the future, our new Synaptics Wi-Fi 7 solutions introduced last quarter are gaining meaningful traction, offering a range of products from high performance to low-power capabilities. We see design opportunities across a wide range of customers for IoT, enterprise and automotive applications. These designs are expected to ramp throughout 2026 and beyond as customers launch their next generation of products. We have confidence that Synaptics is well positioned to gain market share during the Wi-Fi 7 technology transition. Moving on to our portfolio of processors. The team has done an excellent job taping out our latest Edge AI native Astra processors. This new portfolio integrates a neural processor co-developed with Google Research, which supports transformer-based architecture. This enables native execution of generative AI applications at the edge to support text, video, vision, audio and predictive maintenance workloads. It supports both current AI use cases and emerging AI models across a broad range of IoT applications and delivers high performance and low power consumption at truly disruptive price points. We believe the tight integration with our market-leading wireless connectivity solutions enables our customers to implement differentiated and affordable end applications. We are making great progress with lead customers and engineering samples are expected this quarter. We expect initial revenue contributions to start in the second half of calendar 2026. While we are seeing a strong momentum in product development, design wins and pipeline expansion for our new platforms, our existing processor products are also gaining traction, benefiting from demand recovery and normalized inventories. We continue to see our design wins ramping into various deployments at key customers in 2026. We have secured a marquee win with a leading audio OEM. They chose us because of our ability to provide Edge AI-ready silicon, comprehensive software, robust connectivity, broad IoT ecosystem support and hardware security. Overall, our Core IoT pipeline continues to grow and gain momentum. Turning to Enterprise & Automotive. We continue to see modest recovery across our Enterprise portfolio. While order trends are improving, we are not seeing a broad-based PC refresh cycle just yet. In Automotive, demand remained soft, in line with the market segment. While we do not anticipate a material near-term recovery, we remain confident in the long-term potential driven by our innovative video display bridge solutions and adoption of OLED screens. Finally, Mobile Touch performed better than our initial expectations and delivered solid sequential growth. Our portfolio is primarily targeted at the high-end Android smartphone market, where we saw healthy demand across multiple customers. We are seeing strong traction for our latest touch architecture designed for foldable phones and other large screen applications. We are optimistic about the opportunity as the share of foldable phones continue to grow. We continue to collaborate with multiple OEMs for their current and next-gen designs. Overall, business continues to improve as orders are steadily increasing, the backlog is growing and channel inventories remain lean. Our pipeline of opportunities continues to expand, and we remain confident in our ability to maintain our position in Enterprise & Automotive, Mobile Touch and drive long-term growth in Core IoT. With disciplined execution, we expect to deliver sustainable growth across our portfolio and create long-term shareholder value. In my time here so far, I have focused on deepening connections with our employees, customers, suppliers and partners. I'm now looking forward to building strong partnerships with our analysts and investors. We plan to be on the road in the coming weeks, and I hope to meet several of you in person. I will turn the call over to Ken to review our fourth quarter fiscal year 2025 financial results and our fiscal 2026 first quarter outlook.
Ken Rizvi: Thank you, Rahul, and good afternoon, everyone. I will focus my remarks on our non-GAAP results, which are reconciled to GAAP financial measures in the earnings release tables found in the Investor Relations section of our website. Let me start with our full year fiscal 2025 results. We had strong growth in fiscal 2025, with revenues increasing 12% to $1.074 billion, and earnings per share increasing by 61% to $3.62. Our growth was mainly driven by our Core IoT products, which increased 53% for the year. We also saw a recovery in our Enterprise & Automotive products, which increased by 7%. During fiscal 2025, our revenue trends continue to improve and channel inventories have been reduced to normalized levels. Non-GAAP gross margin for fiscal 2025 came in at 53.6%. Non-GAAP net income for fiscal ear 2025 was $143.9 million or $3.62 per diluted share. We continue to generate strong cash flow, with fiscal year 2025 cash from operations of $142 million. During the year, we reduced total gross debt by approximately $134 million or 14%, repurchased shares of our common stock totaling $128 million and invested approximately $200 million to acquire certain assets from Broadcom in January, enhancing the capabilities in our Core IoT portfolio. Now let me turn to our Q4 results. Revenue for fiscal Q4 was $282.8 million, above the midpoint of our guidance. Q4 revenues were up 14% on a year-over-year basis and 6% sequentially. The revenue mix in the fourth quarter was as follows: 30% Core IoT, 53% Enterprise & Automotive and 17% Mobile Touch products. Core IoT product revenues increased 55% year-over-year and 25% sequentially, driven primarily by increased demand for our wireless products. Enterprise & Automotive product revenues improved 4% year-over-year, but were down 3% sequentially, mainly due to continued softness in automotive. Mobile Touch product revenues were higher than expected, increasing 8% sequentially and were roughly flat on a year-over-year basis. Fourth quarter non-GAAP gross margin was 53.5%, in line with the midpoint of our guidance. Fourth quarter non-GAAP operating expense was $104.5 million, slightly above the midpoint of our guidance range, mainly due to the foreign exchange impact from a weakening U.S. dollar. We estimate this impact for fourth quarter expense was approximately $2 million. Our non-GAAP operating margin was 16.5%, up approximately 208 basis points on a year-over-year basis and 95 basis points sequentially. And non-GAAP net income in Q4 was $39.5 million. Non-GAAP EPS per diluted share came in above the midpoint of our guidance at $1.01 per share, an increase of 58% on a year-over-year basis. Now let me turn to the balance sheet. We ended the fiscal fourth quarter with approximately $452.5 million in cash, cash equivalents and short-term investments, up approximately $31.1 million from the prior quarter. Cash flow from operations was $57 million in the fiscal fourth quarter, and we repurchased $16 million of our shares in Q4. Our existing share repurchase authorization expired in July of 2025. On August 5, 2025, our Board of Directors authorized a new repurchase program for up to $150 million of our common stock. This new authorization underscores the Board's confidence in our long-term strategy, and reflects our continued commitment to delivering shareholder value. We remain disciplined in our capital allocation approach, balancing strategic investments in growth with opportunistic share repurchases. Capital expenditures was $6.6 million and depreciation for the quarter was $7.1 million. For the fiscal year 2025, total capital expenditure was $25.8 million and total depreciation was $28.9 million. Receivables at the end of June were $130.3 million, and days of sale outstanding were 41 days, down from 45 days last quarter. Our ending inventory balance was $139.5 million, which increased by $6.6 million from the previous quarter. And the calculated days of inventory on our balance sheet were 95 days, essentially flat with last quarter. Now turning to our first quarter of 2026 guidance. I want to first note that our guidance is subject to the fluid macroeconomic, global trade and tariff environment, which remains uncertain at this time. Please refer to our safe harbor statement in the earnings release and in our supplemental materials. For Q1, we expect revenues to be approximately $290 million at the midpoint, plus or minus $10 million. Our guidance in the first quarter reflects an expected revenue mix from Core IoT, Enterprise & Automotive and Mobile Touch products of approximately 32%, 53% and 15%, respectively. We expect non-GAAP gross margin to be 53.5% at the midpoint, plus or minus 1%. And non- GAAP operating expenses in the September quarter are expected to be $105 million at the midpoint of our guidance, plus or minus $2 million. We also expect non-GAAP net interest and other expenses to be in the range of $1 million to $2 million in the first quarter, and our non-GAAP tax rate to be in the range of 13% to 15% for the first quarter and for fiscal 2026. Non-GAAP net income per diluted share is anticipated to be $1.05 per share at the midpoint, plus or minus $0.15 on an estimated 39.5 million fully diluted shares. This wraps up our prepared remarks. I would like to turn the call over to the operator to start the Q&A session.
Operator: Our first question comes from the line of Kevin Cassidy with Rosenblatt Securities.
Kevin Edward Cassidy: Congratulations on the great results. And welcome, Rahul. And my question is for Rahul. I'm certain at the Analyst Day, you'll go into more details, but you had great success in the IoT market at Qualcomm. And I just want to know how this strategy might change as you come to the Synaptics platform?
Rahul G. Patel: Thank you, Kevin, and thanks for the question. Clearly, I think, as I indicated in my prepared remarks, I'm really excited by what I see in our portfolio at Synaptics and the opportunity to road map it further into something that's going to be even more formidable offering. Like if you look at the building blocks in most of the IoT systems, you would have a processor, you would have some form of wireless connectivity and you would have some natural interface or interface with the physical world, which would be largely mixed signal. And if you look at these 3 components, they're exactly where Synaptics is in its core capabilities right now. Mixed signal has been the core competence of the company for almost 4 decades of its life. It's been kind of definitely delivering best- in-class signal-to-noise ratio solutions, basically, as you know, in Mobile Touch for a very long time and many other things along those lines. Second, in processors, they have got a nice presence already in the processor market. And with this Google Research partnership, bringing AI at the Edge by implementing not only the neural processing engine, but also in collaboration with Google, the accelerators that ultimately make the transformers on AI inference go really efficiently in the amount of bandwidth or horsepower we got to work with, along with every other co-processor engine that you have in the subsystem and then wireless connectivity. They have the portfolio of intellectual property and capabilities that come from best-in-class in the marketplace, that is Broadcom. And they are being built into products that will be ultimately delivering at the not so high performance, but extremely low-power applications that ultimately build solutions to deliver extremely efficient, power-efficient, battery life efficient, days of use efficient solutions. And so you can see the opportunity over here is going beyond selling piece solutions as processor or wireless connectivity or as some analog mixed signal capability into a solution on a going-forward basis. And you'll see a lot more of those discussions come to the forefront as we move along in 2026 with Synaptics. And that in itself is now opportunity to add a lot more silicon content from Synaptics in the end product at the customer and also wrap it with the right software capabilities, AI model capabilities and potentially help us grow gross margin from where it is right now and approach our long-term models. So as you can tell, I can't stop talking enough about it. And I'm truly excited about the opportunity ahead in Core IoT for the portfolio that Synaptics has to offer today and grow from there into the road map products that we have in plans.
Kevin Edward Cassidy: That's great color. And maybe just one other is the, are there other building blocks you might need to acquire to fill out the whole solution, maybe some other types of connectivity aside from the wireless connectivity?
Rahul G. Patel: Kevin, I think an excellent question again. I think our philosophy and my philosophy throughout my career has been to be very disciplined financially, right, and not get carried away, right? And I think some of these thoughts are common to Ken as well in how he kind of looks at the business and our investments. So clearly, we have a portfolio organically that can grow. And so from investments point of view, our first place is going to be organic investments where we can continue to grow products and develop a road map that's highly differentiated. I'm very confident that we'll continue to deliver differentiated products based on everything that we have in our portfolio on a going- forward basis. I will not rule out inorganic opportunities to accelerate our growth in Core IoT as well. And then obviously, we'll do the right thing from a capital allocation point of view if we have surplus capital, and obviously, we'll look at ways to return it back to the shareholders. So very disciplined. Net-net, organically, lot to do, and I think in the OpEx envelope, reasonable OpEx envelope where we have to work with. And then also not shy away from looking at inorganic options should they help us accelerate our growth in Core IoT.
Operator: And our next question comes from the line of Christopher Rolland with Susquehanna.
Christopher Adam Jackson Rolland: Perhaps following on Kevin's. So welcome, Rahul. My questions are going to be a little bit more targeted. So have you identified some areas of perhaps product pruning or like low ROI investments? And then alternatively, have you found you might have some areas of pricing power or pricing optimization that you may be able to implement? And then lastly, Synaptics has historically not had a great channel presence. Have you thought about how to beef that up?
Rahul G. Patel: Chris, great questions. Thank you. First and foremost, absolutely. I think I -- in the first couple of months that I've been here, I've looked at every potential product category that we are in. I have established a good understanding of the value propositions those products provide, and on a forward-looking basis, how they would integrate into the larger drive for the company to be a formidable player in Core IoT. And I can tell you, I have early views on what we are going to do. But if you give me some time, by Analyst Day, I will present to you very clear direction on what we are going to focus on and what we may defocus on. Having said that, I'm really excited about the engineering talent we have in-house. And I do believe while we will be making choices, we will have need for some of our engineering talent to be repurposed in areas that are going to drive us into the growth trajectory, especially on Core IoT. In terms of channel, our products have just recently started to ramp into customers. Today, we are in our journey for going from 10, 15 customers to 100 customers. The day will be not far in time where we will go from 100 to 1,000 customers and beyond 1,000 customers from a channel point of view. And we have established along the way when we will start investing in the channel strategy. It is important to formulate a strategy. However, I'm going to be extremely judicious about when we go invest and double down on the channel strategy. And I think it's going to be more in the realm of time frame where we would be moving from hundreds of customers to thousands of customers.
Ken Rizvi: And Chris, just -- this is Ken. Just to add on, if you look at our sales team and go-to-market engine, that is an area we have been investing in over the last 6 to 12 months, and we'll continue to invest in that area as we think about our fiscal '26 in terms of business development, system architects and the like, so we can develop some of these differentiated products and solutions for that customer set.
Rahul G. Patel: And to add to what Ken is saying, I think I'll go back to something I said earlier. The drive to sell solutions effectively helps us increase total silicon content for every sales effort. And I think that in another way is also helping scale our SG&A. And so I think -- Chris, I think there's multiple ways to become a lot more efficient in our drive to grow our sales and everything is on the table at this point.
Christopher Adam Jackson Rolland: Excellent. And then this one is probably for you, Ken. I think in your prepared remarks, you said order activity, backlog and channel inventory levels have improved. Perhaps you can talk a little bit more about that order activity, like I don't know, like percentage of book versus turn that you need, backlog, anything like book-to-bill, et cetera. And then the channel inventory levels have improved. I think the channel is small now. So do you mean that channel inventories have gone down? Or maybe you could just expand on that, what you mean? And I assume you're filling the channel as you expand the channel, so this would be a benefit. Maybe talk about that benefit.
Ken Rizvi: Sure, Chris. Now let me -- and if I don't answer the question, just ask what I didn't answer here. But first, in terms of the order activity, as we've talked about maybe the last several quarters and as we progress through 2025, just the overall order activity and backlog entering the quarter has improved. So we have great, great visibility into our September quarter, our Q1. And the backlog is healthy and building as we look at our Q2 as well. So I think those are good trends and something we measure vis-a-vis crawl charts each and every week. In terms of the channel, I would say, overall, we're at very lean channel inventories as a company. We're at pre-COVID levels. Indeed, actually, in Q4, our channel inventory decreased slightly from Q3 levels and -- but we're very lean. So I think if we think about the next 3, 4 quarters or as demand trends continue to improve, I would expect if we get back to normalcy that, that channel will also replenish, but that's not being forecasted in terms of our September outlook.
Operator: And our next question comes from the line of Krish Sankar with TD Cowen.
Krish Sankar: Welcome, Rahul. And Ken, first one for you, just to follow up on the previous question. Channel inventory is getting lower, backlog is improving. It looks like you're seeing some signs of improvement, especially on enterprise. I'm very curious how sustainable is this given the fact that IT spending budgets are still very tepid? How should we think about December or March quarter revenue trends overlaying any kind of seasonality we should expect?
Ken Rizvi: Sure, Chris. Good question. So I would say we typically have visibility 3 to 6 months. And within that 3-month window, fairly healthy visibility. So as we think about the September quarter, we're guiding to that $290 million at the midpoint, and you can assume we have pretty good line of sight to that midpoint and the range around it. And as we think about the December quarter, we're building that visibility. So what I can say is the backlog levels starting from this period and looking into December look healthy. And as we get through this quarter, we'll start to build that visibility even further. Historically, as we think about the March quarter, still a little early to call. There's typically some seasonality in the business, especially as we think about some of the consumer-oriented markets. So historically, we would expect some seasonality in the March quarter. We're not guiding for that today, but that would be the typical pattern as we think about the March quarter.
Krish Sankar: Super helpful, Ken. And then just as a follow-up for Rahul. I understand you're going to talk more about your strategy at the Analyst Day. But you kind of mentioned about scaling Synaptics larger, focus more on organic. I'm kind of curious, Synaptics historically has not had strength in industrial IoT. Is it a segment you think it's worth pursuing? Or is it tough to get traction organically or maybe you have to do an acquisition? Or is it something that doesn't make sense for Synaptics?
Rahul G. Patel: Yes. I think, Krish, first and foremost, thank you for welcoming me. I appreciate that. Regarding your question, I would draw your attention to our mixed-signal analog capabilities, along with AI at the processor. And if you net it out, right, you would see opportunity within the Core IoT that would yield applications like factory control, process control, charging infrastructure, EV charging infrastructure, point-of-sale scanners, drones, robotics, as you kind of go down that list. And a lot of these applications will scale into industrial IoT as well, right? And so we will build platforms that will be able to scale across the entire landscape of opportunities from industrial IoT to consumer IoT. And I'm very confident. I think based on the capabilities that we have, especially in our processors, if you look at the class of processors that we are building, we are building microprocessor class, which is a little bit higher performance, lot more coprocessors, application-specific coprocessing in there. In combination with, if you look at our SKU map on the processors, they'll go all the way to very inexpensive value-oriented MCUs. And so you can see the scale going from industrial IoT to consumer IoT as a result.
Operator: Our next question comes from the line of Peter Peng with JPMorgan.
Kaykin Peng: Welcome, Rahul. Just when you look at just your 3 business segments, where do you -- any kind of color on whether you're going to be prioritizing certain segments? And where do you think Synaptics is in terms of this transformation journey to an IoT company? Is there a certain -- is divestiture something that you're considering? Maybe we'll start there.
Rahul G. Patel: Well, I think -- thank you, first, Peter. Let's start with the last question first. I am looking at all assets and product categories within Synaptics. I'm also being very judicious about the core engineering capabilities associated with all products and categories that we are entering. Having said that, I value a lot the analog mixed signal capability that this company has, and it's been core to this company for a very long time. The repurposing of that capability in context of Core IoT is extremely valuable and highly differentiating versus many of the Core IoT players in the marketplace. And so while there may be deemphasis on certain product categories, I do believe the product portfolio capabilities, especially core engineering capabilities are extremely valuable, and we'll repurpose them as we see needed to grow organically our Core IoT business, right? I think that's the way I'm parsing the portfolio and the capabilities in the company. In terms of giving you more color on what product categories remain with the company, what gets deemphasized or divested, you will see a lot more color at the Analyst Day.
Kaykin Peng: Got it. Okay. Perfect. And then just maybe a more near-term question. Is there any signs of demand pull forward? And you alluded some typical seasonal trends in March. What is typical seasonality to you guys?
Ken Rizvi: Yes. Why don't -- Peter, why don't I take that? If you look at the seasonality question as we think about March, I think, is what you asked, typically, it would be down because of some of the consumer applications. And so we would normally see that down. We're not calling or guiding for that today. We guide only 1 quarter ahead. But in a normal environment, you'd see the March quarter, our fiscal Q3 seasonally down. So I think that was one of your questions. And the other one was around pull-ins. So if you look at pull-ins, I would say it's difficult for us to gauge the demand versus any potential pull-ins. You can see that maybe in certain markets like the mobile market, we had strong demand in our fiscal Q4. And there are some incentives and other things in play globally that may be -- that it may cause demand to improve as a result of those incentives, and that may have helped Q4. You can see we're guiding for that segment to be down slightly for Mobile Touch into our fiscal Q1. And so I would say, in general, we feel like we're kind of shipping towards demand. And in certain markets like the Mobile Touch market, it's tough to say is there any pull ahead? Or is that as a result of some of the incentives that are in place globally?
Rahul G. Patel: Peter, if I may add to what Ken is saying. I think, to draw your attention, I think despite sequentially mobile being softer than Q4, as Peter said -- as Ken indicated that it could be largely because of some incentives, I mean, at this point. However, our total revenue continues to grow in fiscal Q1. And it is largely fueled by the growth in Core IoT, which is sequentially growing quarter-over-quarter. And in Q1, again, year-over-year, we are potentially growing north of 50%. And so this new product initiative, new segment focus is definitely helping us deliver the sequential growth in fiscal Q1 despite what may be a soft fiscal Q1 for Mobile Touch.
Operator: And our next question comes from the line of Jacob Grandstaff with Mizuho.
Jacob Daniel Grandstaff: This is Jacob on for Vijay at Mizuho. And Rahul, welcome as well. First one is going to be on margins. You guided it flat quarter- over-quarter. That would be the third straight quarter with GMs at about 53.5%. At the last Analyst Day, you guys targeted 57% for margins. Can you walk us through the puts and takes to get back into that high 50% range? Would it just be an acceleration of Enterprise & Auto? Or is there something else we should think about to get back to that level?
Ken Rizvi: Sure. No, thank you. Thanks for the question. This is Ken. So as we think about the margin profile, a couple of things. One, I think we've executed very well over the last few quarters and even into our guide for Q1, I think it's overall, very good results, not only on the margin side, but you can see that fall through to earnings as well. As we think about the margin profile, a lot of this has to do with the mix profile and the ebbs and flows of that mix profile over time. So if we think about improving the margin profile from here, it will be a combination of mix within mix in certain of our product categories. And I think also, longer term, our ability to continue to differentiate our capabilities vis-a-vis solutions and products. I think that can be a driver of margin improvement over the mid- and longer-term period.
Rahul G. Patel: Vijay sic [ Jacob ], if I may add, this is Rahul. First, thank you for welcoming me. As Ken said, and to be very specific, in my prepared remarks, I touched on some of the new product launches, especially the Astra family of products. As we bring Edge AI capability in hardware through neural processing and along with the transformer support that has been done with Google Research and collaborating between the 2 engineering teams, it will potentially help us take the margin mix up as that product mix comes to gather more in direction of the processors and wireless connectivity solutions, right? And so we will be looking at a road map of growing gross margin over time. And so what we have suggested earlier is long-term gross margins are not outside the realm of possibility. And we'll give you a lot more update at the Analyst Day as to how we get there.
Jacob Daniel Grandstaff: Awesome. I appreciate the color, and that's a good segue into my second one. I wanted to ask on Astra. So we talked last quarter, I think, Ken, you mentioned $300 million incremental design funnel from Astra. So just wondering what that looks like now, and how quickly you guys think you can ramp wins because you mentioned revenue starting with second half of '26.
Ken Rizvi: Yes. This is Ken. So on the design funnel, the number I provided last quarter was actually referencing, I think, the September quarter of last year just for background. We'll provide -- the funnel, needless to say, is growing very nicely. We typically will provide an update once a year. So you can assume here, I believe, next quarter or at the Analyst Day is the next time we'll provide an update on the funnel, but we're getting great traction. I think as Rahul stated in the prepared remarks, if you look at this next generation of Astra processor that is coming out and taped out, we're super excited about the capabilities. The customers are excited about the capabilities, and that's where we're seeing some great traction. But we'll give you more specifics here over the next kind of 3 to 6 months, either on our next earnings call or perhaps at that Analyst Day. But needless to say, we're seeing great traction and a great build in the pipeline.
Rahul G. Patel: I think -- Vijay sic [ Jacob ], I think we are very comfortable right now with our long-term growth projections on -- in the Core IoT market segment, right? And so that ultimately, obviously, we will give you a lot more color, as Ken indicated, in the next 3 to 6 months. But that is very promising right now. And it's -- by the day, I think our pipeline continues to grow.
Operator: And our next question comes from the line of Nick Doyle with Needham & Company.
Nicolas Emilio Doyle: Also welcome, Rahul. Congrats on a successful Astra tape out. I think that was executed a bit ahead of expectations. That Core IoT audio OEM marquee wins, I mean you listed the reasons why, but could you just expand on that win? How are you able to win so quickly after the first tape out? What does that audio customer really need that you're offering? And what kind of other opportunities are you looking at near term for that Astra SOC?
Rahul G. Patel: Nick, first and foremost, thank you. I'll just provide some clarification. I think the chip that got taped out, as you indicated, was -- had taped out earlier than it was originally planned. And so kudos to our engineering team for kind of out executing on our plans. However, the design win for that audio OEM was with the predecessor chip, and that had some elements of AI processing through the audio processor capability that was embedded in that silicon. And I want to be careful not shedding a whole lot of light because then I will be spilling the beans on our end customer. It's a brand name in North America, and they are very well known for delivering high- end speaker systems and/or wireless connectivity. And so you can find 2 or 3 of them, and 1 of the big ones is where this design is going. Having said that, I think there's a lot of AI capability built into the implementation that helps create a lot more synchronization of audio capability without compromising on high fidelity quality, along with the software that we provide to our customers in this equation of audio synchronousy at high fidelity levels basically. And I'll just leave it at that. And when the time is right, I think we'll definitely share more details on this. But you get a sense of where these capabilities that we are embedding in our products are going to be valued and differentiated versus a typical MCU or a microprocessor that today is available in the marketplace.
Nicolas Emilio Doyle: Yes, that's helpful. Near term, I mean, very strong Core IoT growth embedded in the guide. I mean, what's driving that? Is that more Wi-Fi, more Bluetooth, seeing some market growth there, and that's what's driving it? Like any more color would be really helpful.
Rahul G. Patel: Majority of the growth is largely coming from wireless and Wi-Fi 7. Also, our new processors are ramping up. And so in combination, these 2 are driving majority of the growth in Core IoT today.
Operator: And I'm showing no further questions. So with that, I'll hand the call back over to President and CEO, Rahul Patel, for any closing remarks.
Rahul G. Patel: Thank you, Andrew. Before we conclude, I would like to reiterate that I am confident in our path forward as Synaptics stands at the forefront of Core IoT and Edge AI innovation. I want to express my sincere gratitude to all our employees for their unwavering dedication and to our customers, partners and shareholders for their continued support and trust in us. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating. This does conclude today's program, and you may now disconnect.